Operator: We stand by. We are about to begin. Good morning, everyone, and welcome to Lazard Ltd's First Quarter 2025 Earnings Conference Call. This call is being recorded. Following the remarks, we will conduct a question and answer session. Instructions will be provided at that time. If anyone should require assistance during the call today, please press the star key followed by zero on your telephone keypad. At this time, I would now turn the conference over to Alexandra Deignan, Lazard Ltd's Head of Investor Relations and Treasury. Please go ahead, ma'am.
Alexandra Deignan: Thank you, Mel, for the earnings call for the first quarter of 2025. I am Alexandra Deignan, Head of Investor Relations and Treasury. In addition to today's audio comments, we have posted our earnings release on our website. A replay of this call will also be available on our website later today. Before we begin, let me remind you that we may make forward-looking statements about our business and performance. There are important factors that could cause our actual results, level of activity, performance, achievements, or other events to differ materially from those expressed or implied by the forward-looking statements, including, but not limited to, those factors discussed in the company's SEC filings, which you can access on our website. Lazard Ltd assumes no responsibility for the accuracy or completeness of these forward-looking statements and assumes no duty to update them. Today's discussion also includes certain non-GAAP financial measures that we believe are meaningful when evaluating the company's performance. A reconciliation of these non-GAAP financial measures to the comparable GAAP measures is provided in our earnings release and investor presentation. In our call today are Peter Orszag, Lazard Ltd's Chief Executive Officer and Chairman, and Mary Ann Betsch. After our prepared remarks, Peter and Mary Ann will be joined by Evan Russo, Chief Executive Officer of Asset Management, as they open up the call for questions. I will now turn the call over to Peter.
Peter Orszag: Thank you, Allie, and thank you to everyone for joining our call. First quarter performance was solid with results supported by a high degree of client engagement across the firm, along with our diversified business model. In financial advisory, our global market share of announced transactions increased year over year as the momentum behind our long-term strategy continues to grow. Over the past twelve months, revenue associated with private capital was over 40% of total financial advisory revenue, just above our prior peak in 2021. This reflects strong market activity and our successful expansion of coverage in this area. In asset management, we saw substantial improvement in our flows for the first quarter compared to last year. Inflows were driven by large wins in our strategic focus areas, including our quantitative platform, Japanese equities, global equities, and international quality. Even with increased growth inflows during the quarter, our one but not yet funded mandates are even higher at the beginning of the year. Sales and distribution efforts have successfully generated new opportunities. During the quarter, we continued to execute our Lazard Ltd 2030 long-term strategy. We announced a strategic aligning Lazard Ltd's connectivity to private capital across Europe. This partnership creates opportunities across both of our businesses by providing clients access to flexible financing solutions and unique investment strategies. We also announced our expansion in the Middle East, opening a financial advisory office in Abu Dhabi. This office builds on our successful business in Saudi Arabia and complements our presence in Dubai. Finally, last month, we launched our first active ETF product set in the US. The introduction of our Japanese equity megatrend and next-gen technologies ETFs further expands our capability to meet investor preferences and demand. Looking ahead, while there is substantial unpredictability due to shifts in trade policies, corporate balance sheets remain strong, and the preconditions for ongoing economic growth and M&A activity are present. This includes the underlying tailwinds for financial advisory activity with client opportunities driven by technology and generative AI, the biotech revolution, ongoing expansion in energy demand, and efforts to de-risk and reposition supply chains. Over the past month, and even with the overhang of heightened uncertainty, our backlog in financial advisory has continued to grow, driven by activity in Europe and in restructuring, along with continued growth in M&A and financing and capital solutions. Whether this pattern continues and how this backlog evolves in the future will depend in part on greater certainty regarding tariffs. Overall, client engagement across both of our businesses remains robust. Let me now turn the call over to Mary Ann to discuss our financial results.
Mary Ann Betsch: Thank you, Peter. Firmwide adjusted net revenue was $643 million for the first quarter. Financial advisory adjusted net revenue was $370 million for the first quarter of 2025, which is 17% lower than the prior year's record first quarter revenue. Our global M&A expertise and our expanded connectivity to private capital are reflected in first quarter results. Recently announced transactions include Mallinckrodt Pharmaceuticals' $6.7 billion combination with Endo Pharmaceuticals, Sun Communities' $5.7 billion sale of Safe Harbor Marinas to Blackstone Infrastructure, Just Eat Takeaway.com's €4.1 billion recommended public offer by Prosus, and Assurant's $2.1 billion recommended cash offer from KKR and Co. Completed transactions include CD&R's €16 billion acquisition of a controlling 50% stake in Sanofi's consumer health unit, Opella, Pact of Evergreen's $6.7 billion acquisition by Novolex, a portfolio company of Apollo, Ciete Foods' $1.2 billion acquisition by PepsiCo, and SoftGen's €1.1 billion sale of its professional equipment financing business to BPCE. In addition, large corporate restructuring assignments include company roles with Altice France and GSE, while creditor and related party roles include EmployBridge and Oregon Tools. We also advised on several private capital markets assignments, including advising Grosvenor on its sale of 25% of a portfolio of properties valued at £1.2 billion to Nordisk Bank, and Banneker Partners and Crestview Partners on continuation funds led by investments from Oxtell, KKR, and Apollo's S3, respectively. Turning to asset management, adjusted net revenue was $264 million for the first quarter of 2025, a decrease of 4% from the prior year quarter. Our revenues reflected management fees of $206 million for the first quarter, down 1% from the prior quarter. Incentive fees totaled $9 million and were driven by strong performance in our credit fixed income and Japanese equity strategies. As of March 31st, we reported AUM of $227 billion, up from the previous quarter. Average AUM for the first quarter was $231 billion, 1% lower than the prior quarter. Recently won new business for asset management includes Global Equity Advantage, a Swiss client funding $390 million into Emerging Markets Equity Advantage and China Equity Advantage, a US public pension funding $300 million into International Quality Growth, and a Japanese financial intermediary investing $175 million into Global Equity Advantage. Now turning to firmwide expenses. Our adjusted compensation expense was $421 million for the fourth quarter of 2025, resulting in a compensation ratio of 65.5% compared to 66% one year ago. Our adjusted non-compensation expense was $148 million for the first quarter of 2025, resulting in a non-compensation ratio of 23%. Shifting to taxes, our adjusted effective tax rate for the first quarter was negative 13.9%, due to a discrete benefit related to stock compensation awards that vested during the quarter. We currently expect our effective tax rate for the full year 2025 to be in the high 20% range. Turning to capital allocation, in the first quarter of 2025, we returned $175 million to shareholders, including a quarterly dividend of $45 million, $36 million in repurchases of common stock, and $94 million in satisfaction of employee tax obligations. In addition, yesterday, we declared a quarterly dividend of $0.50 per share. Now I will turn the call back to Peter.
Peter Orszag: Thank you, Mary Ann. The current environment is highly uncertain, but Lazard Ltd has a long history of combining business insights with geopolitical context, which is increasingly valuable to our clients. Our geopolitical advisory group is in high demand across both of our businesses. We also recently announced the addition of Patrick McHenry as a senior adviser. Patrick's policy expertise as a congressman, including as chair of the House Financial Services Committee, further enhances our advisory capabilities. In financial advisory, we provide innovative ways to address a wide array of client needs, supported by investments we have made to expand and integrate our restructuring, private capital advisory, and capital solutions groups. With nearly two centuries of operating in Europe, our strong presence, deep relationships, and respected expertise provide us with a competitive advantage in serving those markets. We continue to actively recruit to increase our client coverage. Advisors are attracted to our global reputation and brand, and we achieved our objective to expand our financial advisory MD ranks with eleven net additions over the past twelve months. We also have several senior MDs joining our healthcare, financial sponsors, restructuring, and debt advisory groups in the upcoming months. In asset management, during times of market volatility, investors historically look to active asset management or solutions. Demand for investment products outside of the United States may also expand, as investors reevaluate overweight allocations to the US for more balanced global exposure. With our core capabilities in global, international, and emerging market strategies, this shift could benefit our platform. In addition, we plan to continue expanding our ETF offerings, creating future opportunities for growth over time. Our first quarter performance demonstrates continued progress against our long-term strategy and our focus on delivering excellence as a trusted adviser for our clients at all times. I would also like to take a moment to welcome Peter Harris Harrison to our board of directors, which we announced last month. And I would like to thank Jane Mandela for her service. Jane served three terms as a board director and has been instrumental in guiding and strengthening Lazard Ltd for close to a decade. Now we will open the call to questions.
Operator: Thank you very much, Mr. Orszag. Ladies and gentlemen, at this time, if you would like to ask a question, please pick up your handset for best sound quality. We will go first this morning to Mike Brown of Wells Fargo Securities.
Mike Brown: Morning.
Operator: Great. Good morning, and thanks for taking my questions. So, Peter, positive commentary on the backlog. That is great to hear. It sounds like it is growing and broad-based. Maybe just within the backlog, are you seeing a higher level than normal of M&A deals dropping out? So despite seeing the growth underneath the surface, are there some M&A deals that are actually dropping? And then do you see risk of that picking up at all? Thank you.
Peter Orszag: Sure. So look. In any normal environment, you see some deals get pushed out, some deals get accelerated, deals go sideways. I would not say that we have seen an elevated level of that, but it bounces around from quarter to quarter. And I note, as I pointed out, that even within M&A, our backlog continues to expand. I also want to immediately emphasize that the degree to which that will continue is very path dependent, and depends on what happens during this ninety-day window to hopefully resolve the uncertainty over the tariff regime in particular. So that is point one. Point two is that we have a very diversified business model at this point across M&A, non-M&A, across public companies, private companies, across the US and Europe. And that ability to or that set of capabilities and geographic diversification means that we have the ability to escape to where opportunities are with our clients in a rapidly evolving environment. So point one is M&A market ring, but will be subject to challenges if the tariff regime is not clarified during this ninety-day window. And point b is we have a lot of products and strategies and services that we offer to our advisory clients beyond M&A.
Operator: Yeah. Great. Great. Well said.
Mike Brown: Maybe if I just as a follow-up, just kind of narrowing on 2Q here. It is off to a good start based on what we can see in the public data. And the deals that are set to close in the quarter would actually point to a pretty good second quarter here. Based on the visibility you have, how do you think the second quarter can compare to this first quarter? Can it be up sequentially, and could it also even be up year over year? Thank you.
Peter Orszag: I would say that it is extremely challenging at this point in the quarter to be giving a definitive view about where a specific quarter is landing. But I would go back to despite the uncertainty, we continue to see a lot of engagement with clients and a lot of activity. I am just not going to give you a definitive answer to that question because even in normal times at this point in the quarter, there is still a lot of uncertainty around it. And we are not in normal times.
Mike Brown: Understood. Thank you for taking my questions.
Operator: Thank you. We will go next now to James Yaro with Goldman Sachs.
James Yaro: Good morning, and thanks for taking my questions. Just firstly on the sponsor M&A dynamic, I think 2025 was supposed to be a much healthier sponsored capital return backdrop across both M&A and IPOs. To what extent are you seeing sponsor M&A slowdown as a result of the macro backdrop in tariffs? And then what does this mean for the growth of secondaries for this year?
Peter Orszag: So, look, within sponsors, I think there are multiple countervailing forces. On the one hand, private equity is built to trade. So there is an incentive, there is a kind of underlying driver to fuel activity. And in addition, as you know, many portfolio companies have now been held for longer than their private equity owners would normally hold portfolio companies. That also pushes towards more deal activity. On the other hand, there are three factors currently that are going in the other direction. The first is that the heightened uncertainty around tariffs can affect how one views a portfolio company, especially if it is affected by having to reconfigure its supply chain or pay significantly higher costs for its inputs, or face lower consumer demand for its products if the tariffs are passed along to the consumer. So that is factor one. Factor two is even though these are private companies, the comparables are often public companies in terms of how they are valued. And whenever there is a very sharp movement in market valuation, you can temporarily have a bid-ask spread between buyer and seller. And so the market gyrations that we have been experiencing would play to that second factor. And then the third one is that many private equity transactions are backed by either the leveraged loan market or the high yield market, and those are both disruptive right now. So those are the sort of countervailing forces. What I would say is all three of those countervailing forces will dissipate if there is clarity or more clarity provided over the tariff regime during this ninety-day window. There is a good example of how the policy world is interacting in a quite direct way with that type of activity. And then on your second point, look, we see underlying growth in the secondaries market period because the penetration rate of secondaries in the marketplace still has room to grow in any market environment. But layered on top of that, you do have a cyclical force that if more portfolio companies are held for longer and LPs want liquidity, you will get an additional accelerator to secondaries activity from that tendency also. But the important point on secondaries is while that may cause some acceleration this year, we see continued growth in the secondaries market regardless.
James Yaro: Okay. That is very clear. Thank you. Maybe just could you speak a little bit to the dynamics within restructuring? Could you talk about how trends have evolved in terms of separately liability management versus Chapter 11 and bankruptcy? And then the outlook for both these components. And then finally, maybe just how quickly could Chapter 11 potentially pick up if we were to see a weaker macro backdrop?
Peter Orszag: Sure. So I do think this is an important change in the marketplace. We have retooled our group to handle both restructuring through Chapter 11 and liability management mandates. Also serve both debtors and creditors more evenly, and when you look at the mix of our revenue mix within that group, it is a much more diversified debtor-creditor mix. And then specifically on your question, as private capital has become more dominant, both private equity and private credit, the tendency to do liability management as opposed to a formal Chapter 11 process has increased. And so we would anticipate that that will continue because the role of private capital is more dominant today than it was a decade or two ago. That is not to say there will not be formal Chapter 11 processes for some firms, but I do think the mix of business will continue to be disproportionately in the liability management camp.
James Yaro: That is very clear. Thanks a lot.
Operator: Thank you. We will go next now to Ben Rubin with UBS.
Ben Rubin: Hi. Good morning. Thank you for taking my questions.
Peter Orszag: Morning.
Ben Rubin: I first want to start on the comp ratio. So 65.5% is slightly below the last year's accrual. And I know your goal is to get to 60% or below, and maybe the hope was to maybe get there this year. So I am just curious, what would you need to do to see in terms of the M&A environment, the deal backdrop, such that you would be more comfortable bringing down the accrual rate? And then, also, if you can give us any type of indication on whether or not the 65.5% assumes improvement in the fee revenue throughout the year? And if so, what type of magnitude? Thank you.
Peter Orszag: I will start and then Mary Ann will come in. Look, we were always really clear that the 60% target was dependent on market conditions. I think they maybe to the annoyance of some of you on the phone, we kept putting in those caveats. That was done on purpose because we recognized that the outlook had some uncertainty surrounding it and that operating leverage that is achievable depends on not only what we do, but also on the external environment. So I would just say we, again, put those caveats in on, you know, when I if you look back at the previous transcripts, on purpose, and I would say that events have underscored the wisdom of having done that. With regard to this year, we are going to have to see how this plays out. We are going to make every effort we have to continue to achieve some operating leverage and have the comp ratio come down, but it is very dependent on what on events beyond our control. And in particular, whether there is resolution during this pause period or not, because with the heightened uncertainty that currently exists, you are in one scenario. And if that uncertainty will resolve pretty quickly, you are in a different scenario. And so that there is just there is no way to give more assurance when the world is bifurcated to that degree. But, Mary Ann?
Mary Ann Betsch: Yeah. I guess the way I might think about it is, you know, we are, as Peter said, our backlog is growing. But it is at a much more modest pace than what we expected when we came into the year and when we were talking about the 60% ratio. So I would think about it that if our revenue is relatively stable, then 65.5% is kind of our best guess for the year at this point. It could change as the year goes on as it always does. But that is how I would think about it.
Ben Rubin: Oh, great. Thank you. I wanted to shift gears maybe to asset management. Peter, you mentioned previously that, you know, you are entering the year with, you know, 2025 could be an inflection for your asset management business much like 2024 was for financial advisory with maybe the potential goal of hitting your net zero flows. And you have been active, obviously, as you mentioned in your prepared remarks about launching active ETFs in the US and also the general shift of investor interest going beyond the US should benefit your global strategies. So just curious, how do you feel about that net flow target today? And then also maybe if you could provide us a mark to market on how the flow picture is looking for April, that would be great. Thank you.
Peter Orszag: So what I would say is two things. First, if you look at the first quarter, net outflows were significantly lower than last year. And that occurred despite the fact that our one but not funded mandates increased. So I think there had been some speculation or commentary that we might have been eating into that one, but not yet funded mandate quantum, and that is it has been the opposite. It has gone up, it has risen. And I would note coming back to the geographic, the majority of that one but not funded mandate comes from investors in Europe, in particular, and so that shows the benefits of the diversification. And I will let Evan give an update on or any additional color, including if you want to say about April?
Evan Russo: Sure. Yeah. So clearly, you know, we have been trending better than last year as we had expected coming into this year. And we talked about a more balanced flow picture coming into the year based on several factors. One was the strong foundation. As you mentioned, the one but not funded sort of that pipeline. That we started with this year. And as Peter mentioned, the elevated pipeline that we started this year with is not only not declined, but it has actually been growing steadily a little bit over the course of the first quarter, which continues to give us confidence. Also, the investments that we have made across our business both on the investment side, of course, on distribution changes we have made and organizational changes that made across the platform over the past year. And then importantly, it is really was based on the performance that we have had in many of the products that we expected to be interesting focused products for the market this year, the strong performance that we had, was going to give us a lot of confidence. Then finally, it was the new vectors of growth as you mentioned ETFs and others, which will play out and help us out over time. So all of that was the reason we expected there to be a more balanced picture of flows this year and we are seeing all that play out. I think it is a little bit of a continuation of that trend into Q2. You know, it is going to be lumpy month to month as it always is. But we are continuing to see a more balanced picture. And given the fact that we remain with the higher elevated one but not funded, it continuing to have new wins come in this quarter in both Quants and Japanese equities, international global, all those strategies that are, you know, make sense for the market today and are doing really, really well. We would expect that to continue. So I think it is generally the continuation of the positive trend and the expectations we came in at the beginning of the year.
Ben Rubin: Great. Thank you for taking my questions.
Operator: Thank you. We go next now to Ryan Kenny with Morgan Stanley.
Ryan Kenny: Hi. Good morning. Thanks for taking my questions. So follow-up on the comp ratio. Understand there is a lot of uncertainty on the revenue side, but is there any framework we should think about in terms of comp dollar range? Is there a floor on comp dollars that we should think about in the scenario where maybe more deals start getting pushed out?
Mary Ann Betsch: Yeah. So I will take that one, Ryan. The largest two components of our fixed compensation are salaries and amortization. And I would expect both of those to be up kind of in the mid-single digits range year over year. And I think you have that data from our prior disclosure. So if you want to know, kind of model the floor, I would think about those components. Salaries, you know, we have every year, there is, you know, people are promoted and we have, you know, cost of living adjustments, etcetera. And then on the amortization side, even though we brought our deferral rate down last year, we still had a higher deferral rate than we did in 2021, which is the year that rolls off this year. And so we do see that slight uptick in the amortization as well. So that is how I would think about the fixed pieces, which sort of form your floor on the comp ratio.
Ryan Kenny: Alright. Thanks. That is helpful. And then on the restructuring backlog growing, any sense on how quickly conversations can turn into mandates and then how quickly that can hit the P&L? Is that a 2025 pickup story or more of a 2026 story?
Peter Orszag: I would say that one feature of restructuring mandates, especially in the liability category, is that they can translate into revenue faster than many M&A deals, but we also have a mix of other non-M&A businesses. Those are capital solutions, CCA, etcetera, that can translate from, you know, mandate awards to actual revenue faster than many M&A deals also. So it is not just restructuring that has a different time profile.
Operator: Thank you. We will go next now to Devin Ryan of Citizens.
Alex Jenkins: Hey. This is Alex Jenkins filling in for Devin. Appreciate you guys taking my question. I guess just to follow-up on the asset management side, that $10 billion asset management mandate that you highlighted last quarter, can you speak to whether any of that has been funded today and just the timeline for full deployment? And specifically, are there any challenges or opportunities in executing this mandate that you would like to highlight today? Thank you.
Peter Orszag: Well, again, and I will let Evan elaborate, but that figure was the one, but not yet funded mandates overall. And as we have noted before, the quantum in that category has actually gone up, not down. So always things that come ahead and get funded, but then there are new mandates that come in. And on net, it has increased, not declined, which is what I think there had been perhaps some confusion about. But it has risen. And I do not know, Evan, if you wanted to add it.
Evan Russo: Yeah. I would say, Alex, it is not one mandate. It is a series it is sort of the backlog of things that we were told we won a mandate, but it just has not funded yet. So it is just a question of timing until that they decide to actually deploy the capital, but they have chosen us to be their provider for the asset management services. And so it is a whole series of things across lots and lots of different products. And, you know, we are constantly rolling some of those things in. You know, they are constantly funding. But as Peter and I mentioned, it has actually grown over the first quarter slightly, so it is starting at a very high elevated level relative to where we are historically. At the beginning of the year, we were at a higher and elevated level. That is why it continues to grow. But it is a mix of lots of different strategies with several lots of different clients. We expect, you know, a lot of that start to hit both in the second quarter, probably into the third quarter of this year, but it is constantly being replenished. So it is a question of how fast that gets. You know, we can continue to win new mandates in this environment. Those things, you know, sometimes can move around quarter to quarter because if there is volatility and institutions may decide, let us not invest, let us not put the capital to work for a new mandate, in a period of high volatility. They may wait for a more stable environment so that can move things out for a few weeks or a month based on their original timing, but those things are very, very highly likely and, you know, almost certainty going to fund over the next, you know, twelve to fifteen months or so.
Alex Jenkins: Okay. Yeah. Thank you for that clarification. I appreciate it. Guess just a quick follow-up on capital and growth. You know, you have continued to bolster the platform. You are announced expansion plans in Europe. I guess, just how are you prioritizing capital allocation between organic growth, strategic partnerships, and just shareholder returns? And maybe can you speak to anything in terms of investments or acquisitions in the pipeline to support the 2030 strategic plan? Thank you.
Peter Orszag: Sure. So look. We I think we have been clear about our capital allocation priorities, which is, you know, after interest and dividends to buy back shares to offset part or all of our deferred compensation. And then with regard to that free cash flow, over and above, those priorities, we are considering a variety of inorganic options. But we are going to be very judicious with regard to making sure that the match is right, that shareholder value is enhanced, and that it fits our strategic priorities. So we remain in active dialogue on lots of inorganic options. Disproportionately on the asset management side of the business. But we are going to be very disciplined for its highest and best use and to protect our, you know, to make sure that whatever we do is enhancing shareholder value.
Operator: Okay. Thank you very much. We will go next now to Brendan O'Brien of Wolfe Research.
Brendan O'Brien: Good morning, and thanks for taking my questions. I guess to start, I just wanted to touch on Europe. You know, I have been there is we have been hearing a lot more positivity on the M&A backdrop in the region relative to the US of late. So want to get a sense as to how conversations in Europe compare to those in the US. Also, Peter, you were quite constructive on cross-border activity potentially improving if we were to see a more protectionist regime in the US. But we have also seen some governments be fairly aggressive in discouraging US investment in response to more significant tariffs that were implemented. So I just wanted to get a sense as to how your outlook there has changed this all at all as well.
Peter Orszag: Sure. So, I mean, as I mentioned, our backlog in Europe continues to expand disproportionately to the United States. I think it is one of the benefits of this diversification and our long, you know, our long history in Europe and the local roots that we have there. With regard to the cross-border activity, I mean, first, I think there are two things that I would note. One is that cross-border activity does not necessarily mean going directly into the United States. It can also mean taking a new look at entities that are in lower tariff regimes, and there was announced this morning involving a major technology firm announcing some relocation of where its production will occur as an example. And that is one of the phenomena that we could see where it is not just, you know, interest in locating inside the tariff wall of the United States, but rather relocating to another country that has a lower tariff with the United States. We will have to see, but just to point that out. I would note there is a second thing I noticed, there is also increased interest in Europe-Europe transactions. So things that, you know, do not touch the United States. So our deep local roots maybe the way I would put it is our deep local roots in Europe are a benefit not just because if European firms want to locate inside the US tariff wall, that is an advantage. But rather because we have been close to the European clients that we are, whatever they want to do, whether it is Europe-Europe or Europe to ex-US transactions, we can be there for them in a way that reflects our long history with many of these clients.
Brendan O'Brien: That is helpful color. And I guess for my follow-up, you know, you alluded to this a bit in answer to a prior question, but I was just hoping you can give a bit more color on what you are seeing in terms of credit availability at the moment and specifically whether you believe growth in private credit will result in financing being more readily available in a down cycle relative to what we have seen in the past.
Peter Orszag: Yeah. It is a great question. One of the reasons why we have built out a wide array of different ways of serving our clients is precisely because the world is evolving, and the growth of private credit in particular is something that is different today than it was a decade ago. So our Lazard Ltd Capital Solutions group is extremely active in helping corporates figure out innovative financing solutions, and that demand for that goes up as the leveraged loan market and the high yield market become more challenging. Just naturally. I mean, it is always present, has a competitive force, but it becomes yet more attractive when the other sources of financing are more challenging. So we are this is one area in which we are very, very active. And have deployed our banking teams across the globe to help clients explore innovative financing solutions, and we are very pleased to have expanded in this area and be able to help our clients with this, you know, with this new vector. So how much of an offset it is we will have to see. I think the more important point is, as I said before, I would expect that the challenges in the high yield market and the leveraged loan market will dissipate if there is more certainty provided to the tariff regime. And now that there is a little bit more certainty regarding the administration's approach to the Federal Reserve, so I would not just take it, given that the high yield market mortgage loan market remain in their current state, you know, for the foreseeable future. It is very dependent on what governments across the globe do.
Brendan O'Brien: Great. Thank you for taking my questions.
Operator: Thank you. And we will take a follow-up question now from Mike Brown at Wells Fargo.
Mike Brown: Thanks for taking my follow-up. I just want to ask on the fee rate. It kicked up nicely here in the first quarter. And just in light of that, how should we think about the full-year fee rate guide? Is the 1Q the right level to consider for the next couple of quarters? Like, is that the right jumping-off point, or does the mix shift from the mandates that are set to fund actually start to bring the fee rate down as those flow in? Thank you.
Evan Russo: Yeah. Hey, Mike. It is Evan. I will take this one. I mean, yeah, the average fee rate for the quarter was up. Obviously, increased from Q1. And versus last year as well. As you mentioned, it is due to the business mix as we have discussed in past quarters. The last couple of quarters, we had a couple of larger outflows that were in lower fee mandates that were larger mandates, which helped the mix this quarter. Also, some of the new flows we had this quarter into some of the global EMEA Japan and others came in at higher fees. I would say, look, the pipeline that we keep talking about, the one but not funded is a mix of products and some of the larger mandates. So depending on the timing of when those things come in, you could have some movement in the next couple of quarters could have a smaller impact. But overall, you know, fee rate stability, which what we have seen over the last several quarters, has been a positive story for us across the platform. And the newer products and newer vehicles that, you know, from a strategic planning perspective that we have been putting in there, should continue to support this over time. As for the jumping-off point because of some of that movement and some of the, you know, the idiosyncratic timing of some of the flows, I would say, you know, probably better to assume the average of 2024 is probably where we average for 2025 as a jumping-off point, but it is going to move around a little bit quarter to quarter as it has. And, you know, so far, it has been a positive story in Q1.
Mike Brown: Okay. Great. Thanks, Evan.
Operator: Thank you. And ladies and gentlemen, that is our last question for this morning. So that will bring us to the conclusion of today's conference call. Mr. Orszag, I would like to turn things back to you for any closing comments.
Peter Orszag: Yes. Thank you very much. I would just close by saying it is clear that we are in a period of massively heightened uncertainty. But two things about Lazard Ltd make it a moment in which our clients seek out our advice disproportionately. The first is that we have always had in our DNA this ability to combine business and financial decision-making with insight into what governments are doing. That skill set is more important than ever because it is, I think, increasingly obvious to everyone that you cannot make a decision just within the four corners of the Excel spreadsheet. You need to take into account the policy and government backdrop to that. And that is a core competency of Lazard Ltd. And the second is that our diversified business model both geographically and with regard to what products and services and other ways of helping clients we are able to offer tends to shine in moments like this because it allows us to skate to where the client needs are very quickly. And so we all hope that the uncertainty is resolved sooner rather than later. But Lazard Ltd's business model is resilient to all the various scenarios that we may be playing through in the coming months and quarters. Thank you very much for joining us.
Operator: Thank you, Mr. Orszag. Again, ladies and gentlemen, that will conclude today's Lazard Ltd's first quarter 2025 earnings conference call. Again, thanks so much for joining us, everyone. And we wish you all a great day. Goodbye.